Operator: Thank you for standing by. And welcome to the Altius Minerals Q4 and Year End 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question and answer session. . Please be advise that today's conference is being recorded. . Thank you. Its now my pleasure to hand the conference over to Flora Wood, Director of Investor Relations. Ms. Wood, please go ahead.
Flora Wood: Thank you, Jack. Good morning, everybody and welcome to our Q4 and year end conference call. Our press release and annual filings were released yesterday after the closed and are available on the website along with presentation. This event is being webcast live, and you’ll be able to access a replay of the call along with the presentation slides at www.altiusminerals.com.
Ben Lewis: Thank you, Flora. And good morning everyone. Thank you for joining us. Annual royalty revenue was $67.5 million or $1.62 per share as compared to $1.83 per share in 2019. This reflects lower prices for much of the year, as well as certain volume curtailment related to COVID-19 precautionary measures, as well as maintenance and equipment related interruptions in the latter part of the year. Prices began a strong rebound towards the end of the year with several approaching multiyear highs. IOC paid a pent-up dividend amount and we benefited from a full quarter of higher coal royalty ownership, which in combination resulted in a new quarterly new record of $21.9 million or $0.53 per share in Q4. EBITDA margins of 78% for the year were lower than 80% recorded in 2019 in line with the lower annual revenue. Adjusted operating cash flow was $47.5 million or $1.14 per share for the year, compared to $44 million or $1.03 per share 2019. The annual cash flow was higher despite the lower revenue and lower Chapada Stream cost, lower G&A expenditures and the timing of tax installment payments of in 2020. The adjusted operating cash flow amount does not include net investment proceeds of $6.7 million or $0.16 per share stemming for our PG business. Although the PG business positively contributes the cash flow. The gains on these investments are recognized under other comprehensive income in our financial statements. A main adjusting items in 2020, as $1.11 per share impairments recorded earlier in the year, primarily on shorter expected thermal coal loads  as conversions to gas-based generation continue to accelerate in Alberta. In addition, we recognized a small impairment as a result of the receivership by Investee Company, Alderon Iron Ore partially offsetting the impairments with foreign exchange gains and gains on fair market value of a derivative and adjustments relating to equity investments and joint ventures. Including the impacts of no longer accounting from Great Bay Renewables or GBR as an underlying subsidiary following, Altius Renewable Royalties or ARRs joint venture transaction with Apollo that was announced in October. Capital allocation in 2020 focused heavily on the building of Altius Renewable Royalties or ARR as we invested $67.6 million further royalty-based funding to Apex and TGE subsequent to year end. ARR completed a $100 million TSX IPO that is expected to result in less direct capital allocation emphasis at the Altius Minerals level going forward.
Brian Dalton: Thank you, Ben. And thank you all for joining us this morning. As usual, I'm going to stay in the big picture today as there's lots of detail available in the formal disclosure materials that we published. Let me begin with some personal remarks today. I must commend Ben and his team for a top notch year of financial management achievement in the face of great and unexpected uncertainty, also a tremendous business development for . Altius has demonstrated solid financial resiliency to even the scariest parts of 2020 and then went on to finish the year in stronger shape than ever. Thank you. I also want to recognize Jon, Flora and Mark, who worked like dogs this year and keeping all of our many initiatives moving smoothly forward. They often never knew from hour to hour, which direction they would get pulled next, but they were always exactly where it needed to be getting it done with smiles on their faces. Chad and Lara and the whole PG team adapted remarkably quickly when COVID derailed many of their global plans and pivoted our focus towards more home turf opportunities with tremendous resulting success. Last but not least, to every other Altius employee, my sincere thanks for all the hard work and smart thinking, keeping each other safe and for being a pleasure to be on the team with during this past remarkable year, within this company that we carve out every stone up together. Thank you everyone.
Operator:  Your first question comes from I have Carey MacRury with Canaccord. Your line is open.
Carey MacRury: Hi. Good morning, Brian and everyone. Just given, obviously, a big change in the commodity price environment. Where do you see the biggest upside cultists in your portfolio over the next couple of years assuming that metal prices stay at pretty good levels here?
Brian Dalton: Upside from these prices, I mean, really, who knows what the price are?
Carey MacRury: I don't necessarily mean from prices. But like in terms of being underlying assets in terms of…? Yes. go ahead.
Brian Dalton: Yes. What I get excited about with these prices, that many of them have now reached what I'd call incentivization level. So you're getting to that point now where free cash flows from existing operations, and just more market type sources of capital are all available. So this is the environment where you'd expect to get the announcements from operators about capital investments and expansions. So obviously, Chapada and whatever Lundin decides to do there, conditions really couldn't be better. If they could have timed that acquisition and the work they've done to think about expanding any better. You can't ignore potash in this. I mean, it's already built -- there's 50% growth from here. And you've got huge demand surge underway right now. So, again, the price part is hard to call, Carey, I don't know where we're to right now. We're definitely in an upswing, whether it's got lots of legs left to it yet, because the truth of it is. What's amazing is that, it still hasn't resulted in anybody breaking from the whole super disciplined, we're going to return capital to shareholders to starting to make any kind of capital investment announcements, and it really can't end until that happens. That has to happen. They have to decide to spend the capital. They have to put the capital to work. And then you have to start to have line of sight on the production growth. We haven't even kicked off with production announcements. So I'm pretty bullish on pricing. But mainly, I would say, that's one lever that's natural and embedded. But the real exciting part longer term for us is that how many of our assets either that are already built, will get expanded, or how many of the development stage or late stage projects will get funded and built this cycle. That's the exciting part for us.
Carey MacRury: And then maybe one other one, I know you guys like to invest counter-cyclically, and again, given the commodity price environment. Does that mean, we're unlikely going to see new investments over the next couple of years that is more, moving existing investments along? Are you seeing any opportunities for new investments?
Brian Dalton: Pretty limited. I see opportunities to invest in more earlier stage situations where we have particular views on further resource growths, maybe some less money in on project finance type situations. But to be honest with you, there's probably not going to be a lot of large scale operators seeking royalty financing in this environment. They've got other forms of capital. So, I've said it many times, we're not dollar cost averages. We laid in so many bets through the down cycle that we feel like we're moving to that point where the growth comes from the existing assets for a while right now. And we will stay poised. There's always special situations, market anomalies and those sorts of things. But this isn't 2016. And you're kidding yourself, if you think it is. And unless you're dollar-cost average, that basically means the cycle is telling you that this is not the time. This is the time to grow up from what you did in the down times.
Carey MacRury: Great. Thanks, Brian.
Brian Dalton: Thank you.
Operator: Craig Hutchison with TD Bank. Your line is open.
Craig Hutchison: Hi, good morning, guys. Congratulations on the IPO, the renewables business.
Ben Lewis: Thank you.
Craig Hutchison: You guys announced last week, I guess your first deal with Apex on the Jayhawk Wind project in Kansas? Do you guys expect similar deals this year? I think how quickly kind of do you expect some announcements on that front?
Brian Dalton: Yes. With respect to Apex in particular, I know people were wondering why we announced the deal last whenever it was March. Why no royalty came from that investment? And the reason for that is when we made the investment in Apex, they had several projects within their pipeline that we call excluded projects together. And these were essentially just projects that they had subject to prior sale, if you will. They had current negotiations underway, and it wouldn't have been fair or practical to try to have royalties inserted on them at that point. So what's key now is that, that backlog is clear. They had a really strong year. They sold a lower projects last year. It just that -- that was part of that backlog, which is now cleared. So Jayhawk was the first one to come from the Apex's investment. That was about 200 megawatt. Apex is targeting probably close to some historical numbers. They'll probably do close to 2000 megawatts this year. And most of those projects, if not all of them, are non excluded. In other words, they will be subject to royalty. So we do expect quite a busy year in terms of projects being made subject to royalty from existing investments, as well of course as opportunities for more deployment and to attach ourselves more portfolios and even to more advanced stage projects.
Craig Hutchison: Great. And just, I know you guys aren't providing specific guidance now. But just in terms of the coal business, you still have a pretty good valuation here for Genesee. Are you expecting, similar kind of volumes and prices for 2021, as we saw in Q4 2020 for Genesee?
Brian Dalton: We're projecting I believe a bit of a lower volume coming out of Genesee, some of it has to do with -- just work that's underway. Its part of the gas conversion, which we expect is going to impede production, traditional production to some degree. And also just, where the mining occurs relative to our royalty land. That said, take a quick look every morning at what the generation looks like in Alberta. There's a public site that shows and it's obviously been a couple of months. So, Genesee has been pretty flat out for a couple of months here. So, there's a lot of variables, but generally speaking, Craig, I think the way to look at, the coal is pretty much everything what Geneses has done now. And Genesee is winding down. It's happening earlier than Capital Power probably even imagined 12 months ago. I guess it's a function of -- I think they're feeling their own pressures from an ESG perspective. So where they might have been thinking about running out the coal for longer as long as regulations allowed other pressures are building there during more of . A good reference point is the Investor Day, materials that they provided. I think 2023, 2024 is when they're targeting, being fully gas. So the end is nigh. But that's fine. We got our worked done. We got we got our work done, thankfully. I thought we had so much more time on that investments, taking coal royalties and building out the renewables business, that it could have been a quite a gradual thing. And in the end, we actually ran the renewables build up harder, probably than we would have imagined. And boy, that we did everything -- everything happens faster these days than you imagined. I thought we had loads of time. And I think in the end, we were just in time.
Craig Hutchison: Alright. Thanks, guys. Thanks for taking questions. And congrats on a great year.
Brian Dalton: Thank you.
Operator: Brian MacArthur with Raymond James. Your line is open.
Brian MacArthur: Good morning. I just wanted to follow-up on the counter cyclical investing and Carey's question. But on the PG side of the business, which again, as you said, maybe doesn't get as lot of focus. How far you through the vending process, this cycle versus last cycle? Have we -- all that land you got when things are out of favor? Is most of it into vehicles now? Or is there more to do on the PG vending business as we go forward?
Brian Dalton: Like in terms of the big -- what I'll call the big inventory build up say in 2020, really when the cycle turns out in 2013 or so 2012, 2013, or the juniors ran out of money, we really loaded up on projects, and I won't say, we were indiscriminant. But we were -- if there's the key belt would land coming open in it that just take your brain out and grab it. That sort of big inventory build up has definitely cleared. There are some 60 projects, I believe from that that have been vended though. That doesn't mean we don't continue generating projects in the PG business. Really what it means at this part of the cycle, when my access to land just isn't the same, a lot of juniors and majors are funded the amount of prospective mineral terrain that's available to acquire is dramatically reduced over what it would have been in that period. But there's always room for more innovative new ideas. So branching out into new terrain, new ideas, is more of a deeper technical focus. And things that come from that are always attractive. So that -- I still see more projects getting generated and created. And I do see more project sales. But the big wave -- we were very purposeful at the beginning around 2016, 2018, when the first signs of capital started to show up for the better of the juniors and even the majors started to get the exploration budgets back. We're very purposeful about getting those projects out into the hands of the groups that would ultimately explore them as early in the cycle as possible. Exploration takes time. And that was a bit of a strategic change over how we would have ran the business model in the previous cycle. So I guess long answer to your question. But yes, the backlog of the big inventory amounts are already placed in the bet terrain if you will, but the team is busy generating projects. And actually a quite a good this year and adding new projects as well as spending on projects that didn't exist at the beginning of last year.
Brian MacArthur: So just if I can ask a little bit more. When you say innovative, are you talking new commodities. I don't know maybe manganese, which is in the whole EV chain? Or are you talking innovative financing in the sense that you wouldn't just be doing royalties, you'd be doing other things as well and the royalty model change?
Brian Dalton: It might be just new takes on existing belts or even trying to open up new belts. It’s a more true generative work versus say 2015, you could walk into Chile and here's the two biggest copper mines in the world. And look, there's a big chunk of ground open up well. Just grab that. So that was there. You couldn't do that today, obviously. But thinking much more technically, much deeper levels of sort of more of a scientific approach to generating new concepts and new belts. That's more where I'm talking about more hardcore science at this point. Let's read this great work.
Brian MacArthur: Great. Thank you very much. That's very helpful.
Brian Dalton: Thank you.
Operator:  James Belin with Aldebaran Asset Management. Your line is open.
James Belin: Thank you very much for taking my question. Altius has acquired lots of shares and origin royalties over the last month. What in particular makes the purchase of origin royalties shares extremely attractive at the present time?
Brian Dalton: We have been invested in the predecessor companies  merger of Evrim and Renaissance, both quite strong project generation teams in their own right. It has a royalty on the Sandman  project, which is moving along nicely and it also has a royalty on a -- I guess a rumored discovery in Nevada that if it's -- if the discovery is anything close to the rumors is it's pretty, pretty exciting. But our view, there is a bit longer term. We just like the business and how it's being run. We like it as a project generator. We like Paddy and the team. And we felt that the share price was attractive and decided to add to our position. We've been making a lot of cash in the PG business over the past several months, just selectively redeploying here and there.
James Belin: Thank you very much.
Brian Dalton: Thank you.
Operator: Adrian Day with Adrian Day Asset Management. Your line is open.
Adrian Day: Yes. Thank you. Hi, Brian. When I was at one of your meetings, I don't know if it was 10 years, 15 years or what it was, time flies. But you mentioned that you're sort of -- that I'll call it a broad goal or broad aim was to be exposed to commodities more or less in proportion to their market size. And I'm wondering if there are -- based on that, if there are any particular areas that you feel you're missing or you're significantly underweight that you'd like to boost?
Brian Dalton: One that always stood out for us, but there aren't many ways in is aluminum or alumina. We've thought about it. But it's more of a industrial, less of a sort of a mining, geology driven type business. That's one that is something strange, it could be worked on. Certainly take a good hard look at it. And to be honest with you, you're exactly right. I mean, we've tried to stay away relatively small-ish market type commodities, and that volatility in favor of more bread and butter and sizing our portfolio around general size of the traded markets. So on that basis, why are we investing in lithium today? And we've got a big focus there. Or have been for the last several years, because on total traded volume wouldn't seem to fit the bill. There, it's just a case of we expected to - we're getting out ahead if it. But broadly speaking, I do feel like the portfolio is pretty balanced. Another way to describe what you're describing what I would have said probably at the same time is that, the objective here might be to try to create an alternative to investing at the operator level into diversified mining. So ultimately to represent the alternative that Franco does to Barrick or Newmont. How do we do that relative to a Rio or BHP? And I think we're pretty -- we're in pretty good shape in that regard now. Zinc is one that's probably kind of come off with 777 in a couple of years. But then you've got Cory on loads coming on behind that with loads of zinc in it. So no big pressure against long answer, but no, I don't feel any big pressure anywhere within the portfolio right now that something is really way overweight or way underweight against the exposures we want to have.
Adrian Day: Okay. So second quick question. Any updates on the lawsuits in Alberta?
Brian Dalton: Yes. There was a -- I think we announced on this. But there was a call it a hearing. It's not before judge. It's more of a sort of a mediator type person. I could call them master. It's sort of a sub layer to the court that heard things out in late fall. That didn't go our way. But it really has no teeth and it's not binding. So basically the real first leg there is a hearing that we're -- we'd expect probably in the first quarter, if they can get through their second quarter, assuming they can get through their COVID backlogs in the court. So we'll have more in that the year proceeds, but we should get our day in court in anyway.
Adrian Day: Okay, super. Thank you.
Operator: There are no further questions at this time. It's now my pleasure to turn the call back over to Flora Wood for concluding remarks.
Flora Wood: Thank you, Jack. And thank you, everybody for tuning in. Those were great questions. And we'll look forward to speaking to you all after the Q1 results. Bye-bye.
Brian Dalton: Just thanks everyone.
Operator: This concludes the Altius Minerals Q4 and year-end 2020 financial results conference call. We thank you for your participation. You may now disconnect.